Operator: Good afternoon, and welcome to NuScale Power Corporation's Third Quarter 2025 Earnings Results Conference Call. Today's call is being recorded. A replay of today's conference call will be available and accessible on NuScale Power Corporation's Investor Relations website. The web replay will be available for thirty days following the earnings call. At this time, for opening remarks, I would like to turn the call over to Rodney McMahan, Senior Director of Investor Relations. Please go ahead.
Rodney McMahan: Thank you, operator. Welcome to NuScale Power Corporation's Third Quarter 2025 Earnings Results Conference Call. With us today are John Hopkins, President and Chief Executive Officer, and Ramsey Hamady, Chief Financial Officer. On today's call, we will provide an update on our business and discuss our quarterly financial results. We will then open the phone lines for questions. This afternoon, we posted a set of supplemental slides on our Investor Relations website. As reflected in the Safe Harbor statements on Slide two, the information set forth in this presentation and discussed during the course of our remarks and the subsequent Q&A session include forward-looking statements which reflect our current views of existing trends and are subject to a variety of risks and uncertainties. You can find a discussion of our risk factors which could contribute to differences in our expectations in our annual report on Form 10-Ks for the year ended December 31, 2024, and our quarterly reports on Form 10-Q and our subsequent SEC filings. I'll now turn the call over to John Hopkins, NuScale Power Corporation's President and Chief Executive Officer.
John Hopkins: Thank you, Rodney, and good afternoon, everyone. NuScale Power Corporation continues to be ahead of the competition as we remain the first and only small modular reactor technology provider to obtain design approval from the U.S. Nuclear Regulatory Commission or NRC, making our technology ready for commercial deployment. The pipeline of potential off-takers for power generated by NuScale Power Corporation's technology is stronger than ever, and we believe we are nearing the realization of a commitment to deliver NuScale Power Corporation modules at scale. Now turning to Slide three, we list NuScale Power Corporation's third quarter highlights, which we'll discuss in more detail in a moment. They include the recent Tennessee Valley Authority or TVA and InterOne Energy announcement on the deployment of up to six gigawatts of new nuclear capacity using NuScale Power Corporation technology. To continue work on Fluor's Phase two front-end engineering design, or FEED, to study for the Row Power Dorchester power plant and the critical strengthening of our cash position as we enter this vital stage of commercialization. We are excited about the significant momentum we have continued to build this quarter. Turning to slide four, in September, our global strategic partner InterOne announced the landmark agreement with TVA to deploy new nuclear generation capacity powered by NuScale Power Corporation's SMR technology. This project marks the largest SMR deployment program in U.S. history. It contemplates capacity of six gigawatts, which represents a total deployment of approximately 72 NuScale Power Corporation modules and up to six InterOne energy plants in the TVA territory, which covers all of Tennessee, portions of Alabama, Mississippi, Kentucky, Georgia, North Carolina, and Virginia. To put it in perspective, that is enough electricity to power the equivalent of the entire Dallas Fort Worth metropolitan area. NuScale Power Corporation is excited to support the development of new nuclear generation capacity in the U.S. in partnership with InterOne and TVA. Additionally, just last week, the White House announced it will mobilize up to $550 billion in public and private sector investment to expand critical energy infrastructure and strengthen supply chains under the newly signed U.S.-Japan framework agreement. As part of this initiative, InterOne is positioned to receive up to $25 billion in investment capital to develop a fleet of power plants utilized in baseload energy sources, the only developer that was included in this framework. The program will serve fast-growing energy demand for AI data centers, advanced manufacturing, and national defense, while creating thousands of high-quality American jobs and reinforcing U.S. energy independence. We anticipate the first InterOne energy plant to deliver power to TVA as early as 2030, with additional plants phased in as demand grows. Before moving on, I want to take a moment to further highlight our relationship with InterOne. For over three years, we have been working with InterOne on a deployment of our SMR technology, and with this historic TVA announcement, as well as the U.S.-Japan framework agreement, our commercialization strategy is starting to resonate. This is a pivotal time for the nuclear sector, driven by favorable regulatory policy and increasing power demand. As that demand for reliable, always-on, and carbon-free power grows, we believe our partnership with InterOne enables off-takers to benefit from nuclear power without taking on plant ownership or operational risk. We believe that benefit, combined with our supply chain readiness and being the only company with NRC-approved SMR designs and modules currently in production, uniquely positions NuScale Power Corporation to meet this important moment. In conjunction with the TVA and InterOne announcement, we entered into a partnership milestone agreement, or PMA, with InterOne to accelerate the commercialization of our SMR technology as outlined in slide five. Under this agreement, NuScale Power Corporation will provide milestone-based payments to InterOne as projects advance through key stages as outlined here. As it relates to the PMA, milestone one was met on September 2, 2025, when the agreement was announced. Ramsey will discuss this milestone later in the call. But I want to take a moment to explain a little bit more about the milestone payment structure. These payments reflect project costs that NuScale Power Corporation would typically incur later in the process, such as development, project management, and other services. By accelerating these payments, we are helping InterOne reach key milestones more quickly, unlocking financing and speeding up construction. We believe this upfront commitment secures NuScale Power Corporation's technology as the foundation for the largest planned SMR program in U.S. history, with a marquee energy off-taker in the form of TVA. As we lay out slide six, establishing a PMA was a strategic decision to catalyze commercialization, motivate our supply chain to invest, facilitate multiple projects, and accelerate the deployment of NuScale Power Corporation's technology. Looking ahead, this model is designed to be repeatable and scalable. We will discuss specifics in a moment, but it's important to note that our PMA with InterOne is a template for additional projects, both in the U.S. and globally. And since the TVA and InterOne announcement, we collectively have seen a strong uptick in interest from other potential off-takers who want to deploy SMR solutions, as well as from our supply chain partners eager to support the commercialization of our technology. Turning to slide seven, with the 77-megawatt upgrade now approved by the NRC, our regulatory license affair team has shifted its focus to the combined operating license application, or COLA, management process to ensure the effective commercial development and deployment of NuScale Power Corporation's SMR technology at multiple InterOne power plants. For background, the COLA builds on the NRC approval NuScale Power Corporation already has. It is submitted by the customer and includes site-specific information. It is an integral step in bringing full-scale commercial nuclear power plants that will provide safe, scalable, reliable, and carbon-free power to market. We believe no company is more familiar with the licensing process for SMR technology than NuScale Power Corporation. Not only do we have an in-depth technical knowledge of SMR plants, but we have over ten years of experience successfully navigating regulatory licensing processes and proven pre-application NRC engagement strategies. We believe this expertise makes NuScale Power Corporation uniquely positioned to lead COLA development, and we are eager to take this next step towards deployment. Moving to slide eight, NuScale Power Corporation continues to work with Fluor to support Row Power's goal of developing and employing the first SMR power plant in Romania at Dorcesse, the site of a decommissioned coal-fired power plant. While the coal plant itself is now entirely removed, supporting infrastructure such as roads, switchyard, and grid connection remain intact for repurposing as Row Power works towards deploying nuclear capacity. The project continues to generate revenue and positive cash flow for NuScale Power Corporation in connection with the Fluor-led FEED 2 study. As this critical work on the Row Power project continues, we're also working with Fluor to obtain their input for final investment decision expected in late 2026 or early 2027. Before I hand it over to Ramsey, I want to take a minute to comment on the market tailwinds we see for NuScale Power Corporation. We all know the challenges and the opportunities faced in the U.S. and global energy system. Demand for reliable, always-on electricity is increasing, and the key sectors of the U.S. economy are driving it. Industries like data centers, AI, advanced manufacturing, and critical infrastructure, along with a broader electrification trend. These sectors are expanding at a pace we have not seen before, and they require power that simply cannot go offline. And NuScale Power Corporation is uniquely positioned to provide the power these industries seek by being the only technology approved to provide behind-the-meter power. At the same time, the U.S. is focused on strengthening its energy independence, ensuring grid stability, and supporting economic growth in regions that are attracting new investment and high-value jobs. Utilities and industry leaders are looking for solutions that deliver on reliability, scale, and long-term value. We believe NuScale Power Corporation's SMRs can deliver on these needs. The project involving NuScale Power Corporation, InterOne, and TVA demonstrates this, and that is why it is so significant, not just for our company, but for the entire nuclear community. And NuScale Power Corporation, as the leader in this space, could not be better positioned to meet other off-takers' needs both in the U.S. and around the world. Now over to Ramsey for the financial update.
Ramsey Hamady: Thank you, John. And hello, everyone. Our financial results are available in our filings, so my focus will be on explaining major line items which can be found on Slide nine. NuScale Power Corporation's overall liquidity has increased to $753.8 million as of September 30, 2025, versus $489.9 million as of June 30, 2025. This increase was driven by the sale of 13.2 million NuScale Power Corporation Class A shares through an aftermarket program during the third quarter, which generated $475.2 million in gross proceeds. Partially offsetting this increase was a $148.5 million payment in relation to the PMA milestone triggered by the recent landmark agreement announced by TVA and InterOne. NuScale Power Corporation reported revenue of $8.2 million for the quarter ended September 30, 2025, compared to $5 million during the same period in the prior year. This increase was primarily driven by fees received for services we provided during the quarter in support of the Row Power project. I'll conclude my remarks with a brief overview of our capitalization summary, as shown on Slide 10, and an overview of the recent agreement between Fluor and NuScale Power Corporation, which allows the structured orderly monetization of Fluor's investment in NuScale Power Corporation via open market transactions and subject to certain agreed-upon restrictions. Under the terms of the agreement, Fluor may convert all its NuScale Power Corporation Class B units into Class A common stock through a controlled program intended to preserve the fair value of NuScale Power Corporation's equity during the process. In exchange, Fluor has agreed to support NuScale Power Corporation's planned increase in its authorized share count, significantly reduce Fluor's economic rights under the tax receivables agreement, and waive certain claims asserted under its commercial agreements with NuScale Power Corporation. With that, I'd like to thank you again for joining today and for your continued support of NuScale Power Corporation. We'll now take questions. Operator?
Operator: If you would like to withdraw your question at any time, simply press 1 again. Thank you. Your first question comes from Derek Soderbergh with Cantor Fitzgerald. Your line is open.
Drew Nordquist: Hi, this is Drew Nordquist calling for Derek. Thank you guys for taking questions. I have two questions. First, regarding your supply chain. I saw that Doosan signed an agreement to deliver four Westinghouse APU hundreds for a different company. I'm just wondering how that's going to impact your ability to secure supply.
John Hopkins: No. Our relationship with Doosan is we communicate almost every other day. Doosan has come out and publicly stated they have the current capacity of producing 20 NuScale Power Corporation modules per year and looking to expand that as needed. So they have a huge facility. So it's not just limited to NuScale Power Corporation, but we have a focus that they have on the NuScale Power Corporation modules is dedicated to NuScale Power Corporation.
Drew Nordquist: Alright. Thank you. And then you briefly mentioned the U.S.-Japan agreement. Can you just go into a little bit further detail on that? And how it affects you guys?
Ramsey Hamady: Sure. Look, I think what we can surmise from that, which is absolutely incredible achievement with InterOne, is that we were named. We're the sole group that was named, NuScale Power Corporation and InterOne Energy, was the sole group named under power development for AI. And so, you know, this is really a historic time. The agreement between Japan and the U.S. is extraordinary. It's showing a show of support from a long-standing strategic partner of NuScale Power Corporation. You'll recall we have great support from JGC, Chubu, JGC, and IHI. And to be named specifically and solely in this one area really shows that I think it's really a testament to the connectivity and importance of our technology, both to Japan as a manufacturing partner as well as potentially a customer and to America in our stakes for being powered to drive AI. So this was a tremendous accomplishment, really. I think it's a direct accomplishment from InterOne group. And look at the other names that were named here. Paul Fink, CE, Hewitt, Bechtel, Westinghouse, you name it. Like, Toshiba, Hitachi, or Mitsubishi even. These are the biggest names in technology. These are big names in power. And for us, the InterOne, to be named inclusive in that group, really extraordinary achievement. I'm glad you brought that up.
John Hopkins: Yeah. And I'd like to just add and reiterate what was stated. I mean, InterOne was the only developer mentioned, and InterOne is looking to develop a fleet of power plants utilizing baseload energy sources. And so the program will serve for fast-growing demand for AI data centers, as Ramsey alluded to, but also national defense and manufacturing. So we were quite excited about being mentioned in that group of companies.
Drew Nordquist: Let's say there's a bright future ahead. I'm a further add on the point. I think as people, you know, a lot of people would ask early on who's InterOne, where are the capacities, what is their connectivity. And I think this past quarter, both with this agreement with Japan, as well as the announcement in relation to TVA that I'm sure will be asked about, will speak about later in this call. I think we've shown the markets. We've shown everyone. Just how far this combination of InterOne and NuScale Power Corporation can take us. And so this is, again, like, so I think the details are still emerging of this. But, really, a tremendous accomplishment. We're super proud, and we're grateful to be included in this. Well, thank you, guys.
Operator: Your next question comes from the line of Eric Stine with Craig Hallum. Your line is open.
Eric Stine: Everyone. Thanks for taking the questions. Can we just start hey. Can we just start with the TVA setup you've got? I mean, just to be clear, because I, you know, I've taken some questions, and it's clear that some people are a bit confused by it. But we should view this as this is a very critical step getting to your goal, which is a firm agreement by 2025. This isn't necessarily that step. But it is a great indicator that you've kinda got all of the pieces in place, and now it's about getting that PPA signed. Is that right?
John Hopkins: Yeah. That's correct. I mean, I'm sorry. Go ahead, Ramsey. No. Go ahead, Ramsey. No. No. I mean, this just didn't happen overnight. It was a long-term almost a year between TVA and InterOne. Coming to terms in terms of the term sheet. And to your point, what we're excited about for NuScale Power Corporation, this represents 72 potential modules on multiple sites with InterOne. So we are excited about it and TVA also being a government entity, although they're, you know, they operate like a public privately or public company. Having the government stature behind it, I think it's going to be a good thing. So InterOne is already in the process right now of hopefully finalizing these PPAs. And then these things become very real. I don't know if Clayton's on the phone. Clayton is our chief commercial. He's been intimate and working through this process. Are you on Clayton?
Clayton Scott: Yeah, John. I'm on. Thanks. And yes, this is something that, as John stated, we've been working for quite some time, and it's an exciting opportunity, and like InterOne is getting ready to move this forward, and we'll be prepared to support the past and bring this to fruition.
Eric Stine: Got it. Very exciting, no doubt. So we'll stay tuned on that. And then maybe just on the agreement that you announced today with Fluor, just on the monetization. In there, you talk about waiving certain I'm trying to look waiving certain claims related to commitments you just talk, I mean, does that change at all or signal something on Fluor's commitment? Is it unchanged? Or is that maybe opening it up that you can work with Fluor and you can work with others?
Ramsey Hamady: Eric, I'm gonna take your question and use it as a top flyer too. To talk more broadly about the agreement. Because I think, you know, it just came out, and I think it requires some clarity here. Think of two ideas. The first is there's a natural maturation of NuScale Power Corporation. Alright. Essentially, we're a technology company. We don't develop projects. InterOne is a project developer. Exclusive commercial partner. They're a strategic partner. Fluor is an EPC company. I think strategically, you know, it's an EPC company to have such a heavy investment, pure tech company, but may not align fully with the EPC company shareholders. And there's a natural maturation for Fluor's investments. You know, they've been investing for a very long time. NuScale Power Corporation has grown significantly at some point. I think we're north of 80 or 90% of the market cap, I believe. And, look, we're all market savvy here. Like, you know, we understand that different investors have different objectives. NuScale Power Corporation investors have seen, you know, like, a 15x return since our lows over the past two years. Amazing. EPC investor doesn't necessarily look for that sort of risk-return profile. So, you know, I think it's natural for Fluor just to see a maturity of their investment. They'll offer support. It's not breaking the relationship. We made content here with Fluor. Yeah. There's still we still provide engineering work to Fluor. Fluor still sits on the board. InterOne still has had decades of experience with Fluor. So we just, you know, we designed a framework where we'll change and monetize in, like, a very deliberate, very orderly manner. We're working together. The program's structured to have minimal impact. It even flares the shareholders, so we expect, you know, what Fluor has decided as well as we have that minimal impact to the market. And then the idea of, like, the reduction of economic rights is valued delivered to our shareholders because there are economic rights under the B units. And Fluor has agreed to give some of those up, so that's a win for us. And it sort of explains commercial agreements with NuScale Power Corporation. I think it's just, you know, it is a release of certain obligations of NuScale Power Corporation. In relation to some EPC work, but again, as we've evolved, we're not really developing projects. So it's just it's just a logical outcome of this.
Eric Stine: No. That's great. I mean, that's kinda how it read, but just wanted to confirm. So I appreciate it. Thank you.
Ramsey Hamady: Yeah. Thank you.
Operator: Your next question comes from Leanne Hayden with Canaccord Genuity. Your line is open.
Leanne Hayden: Good afternoon, everyone. Thanks so much for taking my questions. Just wanna follow-up on the InterOne TVA agreement. Pre-discussed prior. What do you view as the gating factors to InterOne site evaluation or construction permit NRC application?
Clayton Scott: Well, I think one of the yeah, John. I think one of the benefits of working with InterOne and TVA is they clearly have a number of sites that have gone through previous preparation approvals and early site permits. So that falls in well with the strategy of focusing on Tier one sites to move forward. So I think the evaluations that I've seen and participated with InterOne and TVA that we have a clear view on which sites make sense to progress. And the benefit is that TVA is well suited to support that.
Leanne Hayden: Okay. Thank you. And to the extent that there are any limitations on your ability to raise incremental equity given the monetization agreement with Fluor, how do you anticipate needing InterOne milestone payments?
Ramsey Hamady: Leanne, hi. This is Ramsey. How are you?
Leanne Hayden: I'm good, Ramsey. How are you?
Ramsey Hamady: Good. Good. Look. I think as we've demonstrated, you know, even during the quarter, we're able to raise a fair amount of cash from the markets. A sensible amount of cash, I should say. You know, any of the quarters, though we $50 million worth of cash. The restrictions that we put in terms of our ability to raise funds are in line with our budgeting. And they're in line with our objectives to support shareholders, ensure that there's selling pressure in the market, that is excessive or that parts of the store market pricing. So we've taken a very careful consideration of what the milestone payments are when we anticipate to receive them or to pay them, pardon me. And, they're funding with what he needs. There's been a lot of work that goes in behind that.
Leanne Hayden: Understood. Thanks, everyone.
Ramsey Hamady: Thank you.
Operator: Your next question comes from Joseph Osha with Guggenheim Partners. Your line is open.
Joseph Osha: Hi there, guys. Thank you for taking my question. I was wondering if we could return to InterOne a little bit. Obviously, Wadi Abush and Robert Fardy are, you know, very well-connected guys. And spent some digging there. But I'm trying to understand, has InterOne ever built or owned or operated anything? And if they haven't, I guess, where are the boots on the ground gonna come from? Because it looks all respect due to these guys. They're very well connected. There are pictures of them with Trump and so forth, but I'm trying to understand where the actual operational KPI and history of InterOne are. Thank you.
John Hopkins: Yes, I can start. They're an independent global energy company. Years of experience delivering large-scale energy and infrastructure projects worldwide. In fact, as part of the due diligence we went into the program was looking at their extensive knowledge of building coal-fired plants, combined cycle plants. So they've had a lot of it's not a it's a family name, but it's not well known in an industry. But they've had significant experience in building these plants globally. And, you know, you've been working pretty closely with them, Clayton, and part of you're part of that due diligence process. Do you have anything else to add?
Clayton Scott: No, I mean, they've built a lot of plants. They've also done a lot of large-scale infrastructure projects globally. They have the ability to ramp up and bring in significant partners. Their relationships are far and wide, not just from a political perspective, nor on the financial side. They're certainly tied in the infrastructure companies, and they had Cogentrix one time prior to them divesting it. So they have a lot of experience, in my opinion, as far as building infrastructure and ramping. So they've done a lot of diligence on the technical side and on the construction side. And we're quite confident that they will be ready to promote these plants and move them forward.
Joseph Osha: You made a good point though. Can I follow-up here? It sounds to me like you're talking about Habush Group. Which is fine. There's no information about any projects on InterOne that InterOne has done at all. And if it's Habush Group, that's fine. That's a big company and, you know, they've done a lot. And that's great. Are you telling me that InterOne has built and operated a project? And I guess if so, what? Because there's no information about any of them on their website.
Ramsey Hamady: Got it. Let me if I may. Yes. We are talking about the principles of InterOne. That have developed projects. InterOne was set up for the purpose of energy transition. That was the focus of the company. And so, you know, I would shy away from the idea that InterOne hasn't developed, for example, an SMR project because nobody has. I'd shy away from the idea that InterOne, you know, may not be able to build power plants because InterOne doesn't pour concrete and they, you know, they're not operating yellow trucks. Right? And so it's hiring the biggest EPC companies and construction companies with experience in energy and infrastructure to do this work. They're a developer. It's not like they're out there building the power plants. So I think we just we need to pause for a second, separate what, you know, what's the value of InterOne? And their ability to coordinate projects, to bring in partners, to get deals, and the partners they bring in, the connection and have execute on power plants in the U.S. and elsewhere. And that's really what we're talking about, guys.
Joseph Osha: Alright. Thank we'll take this up. Further. Thank you. I appreciate the additional color.
Ramsey Hamady: Yeah. No worries.
Operator: Your next question comes from the line of Soundarya Iyer with B. Riley Securities. Line is open.
Soundarya Iyer: Hi, team. Thank you for taking my questions. I'm asking on behalf of Ryan Fingst. So my first part would be, like, what your confidence level that we see a binding agreement with TVA in the near term? And what has to be done for that to happen in the near term? And secondly, if TVA agreement is the main one what we are looking for as a form order, or is there a possibility that we could see some another agreement jumping in line?
John Hopkins: Well, I think I think there's limited information we can provide on the details of where they are contractually. But we're very confident that things will move forward in a timely manner, and we're excited about it. And also, in addition to what they've announced with TVA, their pipeline is fairly robust, and we anticipate to see some other things coming in the near-term future. And of that is probably aligned with some of the reasons I mentioned earlier around the Japan deal. So we're confident that InterOne will be moving forward with some other announcements. But regarding TVA, all we can really say is that they're trying to finalize their documents and agreements at this point.
John Hopkins: There was a few weeks ago we had a it was at the combined nuclear energy institute, American Nuclear Society, there's about I don't know, 1,600 people there. And we were on stage with the CEO of TVA, Don Mall, myself, the CEO of InterOne. And, you know, we've kinda walked through the process of TVA and the CEO of TVA was very bullish on wanting to get declared. They're working with other companies as you know as well. But bottom line, still the nearest term the nearest the for a company that's near-term deployable. And we can, in fact, we are the only company that can do behind the meter. We've gone through the NRC process. So if you want to expedite and if this administration wants to move quickly, it's with NuScale Power Corporation.
Soundarya Iyer: Got it. No. Thank you. Thank you for the color. Just to follow-up on the financing question as earlier. So once you hit the milestone two, could you give some color on your revenue to finance these payments? Especially as they become greater in size? I think it's 35%.
Ramsey Hamady: Yeah. If we have we have a number of avenues to finance the payments. We have cash on hand, we have capital markets activities. And you know, it is our expectation. That soon we'll have revenue for this action. And so I don't think we're very concerned about the ability to finance this. I think for us, it's more the idea. Look. The overriding idea is in how we finance. The partnership milestone agreement. That, I think, we can see a way too. And people who, you know, who follow us who understand our movements in the market, who see our path to raise funds, understand that. I think the important part of the partnership milestone agreement is that this is a catalyst money that we're investing here is a catalyst commercialization. This is pushing projects forward. And so, you know, how do we fund the PMA payments? Well, it depends how many yeah, how many SMRs are in the PMA. If it's 12 or it's 24. The maximum within that bucket before it moves to OEM is 24. Can we fund the 24? We can absolutely fund. We could fund it off our balance sheet today if we want to.
Soundarya Iyer: No. Yeah. That makes sense. Thank you, guys, and wish you luck. I'll turn it over.
John Hopkins: Thank you. Thank you.
Operator: Your next question comes from the line of Dimple Gisela with Bank of America. Your line is open.
Dimple Gisela: Thank you. Good evening, team. Could you please help provide some clarity on how many of those six gigawatts under TVA are likely to reach a binding milestone under your partnership agreement? And what are the expected timing and economics for NuScale Power Corporation? And then the second part to that is, have any payments been made today to recognize? And how do you envision recognizing revenue and cash from InterOne milestones across 2026 to 2028? Thank you.
Clayton Scott: Clay, do you want to take the first part of that? I'll take the second.
John Hopkins: I didn't understand. I didn't catch the very first part. So how many of the six projects do we do we hope to achieve with TVA? And what and what time frame? I think the answer would be all six. Yeah. Correct. Time frame maybe you can provide some insights into what you think of the balance of timeline.
Clayton Scott: I think as we mentioned earlier in the call that we're looking at timeline as soon as Stone 08:30 for COD. On the first plant and then a follow-up thereafter. But yes, the intention is to fulfill the full six gigawatts.
John Hopkins: Yes. And don't forget, we've already got 12 modules under production for the first plant. Which is hopeful by the end of the decade will be COD as Clayton said. That each of these plants are 12 module plants, which ultimately represents 72 modules. You know, for our suppliers and us to bring to these sites. So right now, our focus is to get the first one in the ground and running.
Clayton Scott: And then for ones working on what that model layout is, that's you know, they'll they'll they'll that to us the appropriate time.
Ramsey Hamady: Yeah. In terms of our accounting treatment, I think a precise explanation of how we have accounted for the first set of payments. So stage one of the PMA and the agreement it's included in our 10-Q under our accounting policy. And there's more details about the PMA. And I think that's better for you to refer there. But I will say that the expense, as it shows up as an expense in our income statement, PMA payment two TBD I think our preference, obviously, is to capitalize that into expense, but that's the immediate. We'll figure it out when we get to the when we get to the PPA, and we'll figure what it looks like. We'll tell you what the appropriate accounting treatment is. I think on the third stage of the milestone payments, though we haven't made it, think we're fairly certain there of our ability to capitalize those expenses. which will then be deducted from future revenues. But again, would refer you to the Q just take a look at our accounting policies. And how we've analyzed the first payment.
Dimple Gisela: Terrific. Thank you.
Operator: Your next question comes from the line of Brian Lee with Goldman Sachs. Your line is open.
Brian Lee: Hey guys, good afternoon. Thanks for taking the questions. Hey Brian. Hey. How's it going? I know a lot of questions around this you know, InterOne TVA. So apologies in advance because I have a few more. So the agreement here is targeting six gigawatts. And it looks like based on the first milestone payment you made this quarter, you're targeting the full six gigawatts. As you mentioned, as during part of the call, TVA is looking at other options across the nuclear technology spectrum. I won't name the names, but it's been in the press. And so if TVA decided rather than doing six gigawatts, they they wanna do I'll just throw a number out there. One and a half gigawatts, one gigawatt, with NuScale Power Corporation MPMs. Do you get that money back from InterOne? Or does it roll over to another development? Like you're paying basically for six gigawatts on a non-binding basis. But what happens if they never take that to fruition and get to PPA? On the full six gigawatts.
Ramsey Hamady: Yes, Brian, it's a great question. And so the payments would roll into the next project. That those term sheets not materialize into a PPA agreement. So it's not like it's money out the door, it's money gone. That bank has stayed in the system. And I think another important concept here is that once we start the machine, and once you have continued movement from term sheet to PPA to OEM, as we expect, as we commercialize, as we scale up, you'll start to see those payments kind of rolling through and they'll become they'll almost become self-funding through projects. Because that's really what it is, Brian. If this is you know, it's like we develop a technology. We manufacture you know, an SMR. InterOne is a wholesale distribution partner. And they place those SMRs into projects. And so these PMA payments, these are all just baked into the business plans, baked into the economics. Really, this is a question of timing for us. Rather than a question of, like, absolute financial impact. So by forwarding the timing of some of those payments, by forwarding that to InterOne, allows them to commercialize faster. Allows us to catalyze like, this, you know, this kind of this progress, this great momentum that we have. Ultimately and and and, you know, we we we we say this firmly, we think this is the best interest of shareholders to push this forward.
Brian Lee: Yes. Understood. Makes sense. Second question I had was just Ramsey and Clayton, think you guys have spent a lot of time on this call sort of talking about InterOne and articulating why that's the right partner, the right approach to go to market and then also on the terms, lots of commentary around how the payments work and having the funding in place to be able to satisfy the milestone payments all the way through PPA. I guess the big question that we all have on our mind is, when does NuScale Power Corporation get paid from InterOne? And I would presume it's at PPA. But if you get to PPA on the six gigawatts, based on again, you said it's in the Q, there's over $3 billion of payments you will have paid to InterOne over the course of all these milestone payments to get to PPA. My simple question would be when you get to PPA and you get into an equipment agreement with them, do they do you anticipate you'll get $3 billion on day one to that money back? Or is that a ratable sort of revenue rack over multiple years where you still don't accrue $3 billion plus that you spent with InterOne until year number T plus I don't know. But just can you give us a sense understand the milestone payments that's specified in very clear detail. How are you guys going to monetize this? And what's the timeline for at least recapturing the $3 billion plus you would have paid to InterOne by that point in time?
Ramsey Hamady: Yeah. Brian, I don't I'll give you a partial answer, and maybe Clayton can hop in as well. I think the, you know, the example of getting six gigawatts worth of SMR orders immediately or within a very short period of time. You know, aspirational, incredible, probably not a likely outcome. Even just given supply chain and capacity constraint, our ability to deliver SMRs. It's not to say that we don't expect to get every single one of those. We hope to. But it's not gonna happen all at once. When we talk about the PMA payments, I think that we can discern between some of the early stage PMA payments, like the, you know, the term sheet and OEM. Excuse me. Term sheet and PPA. Versus the OEM payment. I think on the OEM payment, that will be a net cash positive for NuScale Power Corporation. Because as money is owed in relation to an OEM, contract that we receive, the final stage of that PMA in relation to an SMR, we also receive money for production. But so I would kind of cut in half what they anticipate the actual cash out because we can really net. We anticipate netting a third milestone payment. So just to say yeah. Like, when you look at an overall scale, like, do we pay out $3 billion if we're gonna need an order for 72? Probably not. Because we do think that there's going to affect on the third payment. And we think that we'll you know, the orders will come in stages, Brian. As I said, once that engine starts running once we start moving projects through the pipeline customers through the pipeline, those PMA payments will become self-funded.
Brian Lee: Okay. Understood. We'll follow-up on Was that clear for you?
Ramsey Hamady: Yeah. No. The I mean, we're all searching for more details, but, we'll take some of this offline.
Brian Lee: Thank you, Ramsey.
Ramsey Hamady: Sure. Of course.
Operator: Your next question comes from the line of Marc Bianchi with TD Cowen. Your line is open.
Marc Bianchi: Hey, thanks. I guess, and you kind of talked about this earlier and then mentioned it in the conversation just now with Brian. It's like the first projects that move towards this next milestone of a PPA. It wouldn't be the full 72, but maybe it's 12 or 24 modules. And part is maybe just correct me if I've I'm understanding that. Incorrectly. And then the real question is you know, how do you or how does InterOne anticipate entering into a firm PPA agreement with TVA if the cost might be a bit of a moving target. How do they that that's a kind of a classic challenge with all of these first of a kind projects. So I'm just kind of curious how that's being addressed.
Clayton Scott: Clay, I'll let you or John take that one.
John Hopkins: Well, I have to be I think we have to be cautious. I mean, I can say that I think the discussions around the PPA and the cost structure or the price structure I think is somewhat established. I don't think they're going to get into a firm PPA unless that resonates to allow them to move the project forward positively. So I don't think we can really go into details, but that's really not a part that would be of concern to me.
Marc Bianchi: But, Clayton, does that mean that there needs to be you know, a long series of front-end engineering work to kind of clearly identify that cost to give certainty and comfort to TVA as an off-taker? And to InterOne who know, would be presumably taking the risk if there is a cost overrun?
Clayton Scott: I think all of that is kind of factored into the final net number. On the cents per kilowatt. But I think I think, they're all contributory, but I think they've all been kind of identified from what I can understand.
Marc Bianchi: Gotcha. Okay. And then the other one I have was just on row power. So you know, still looking for '26, early twenty-seven for an FID. Are there going to be any interim updates on that project as the FEED study progress? Is there anything that we can look out for on the horizon that would know, be an intermediate update?
John Hopkins: Yeah. We talked to Row Power, Marc, almost once a week. In fact, I was just talking with the CEO of Nuka, who Row Power comes under. So you remember, we're a subcontractor to Fluor in this. We're doing a FEED phase two right now. They're paying us. We got our licensing payment. They look at FTMP final notice to proceed towards 2026, 2027. So we'll definitely keep you updated as this project goes along. Quarter by quarter.
Marc Bianchi: Right. Okay. What what But right now, to your point, I mean Yep. We would not as I stated before, you know, we're getting paid and it's been a good project. It's Romania is very aggressively trying to establish their own Central Eastern European manufacturing hub SMR. So we're they're successful. They have their own regulator. They were into the nuclear with Chernoboda with CANDU reactors. So it's not that they're unfamiliar. It's hopefully we're hoping they get the funding necessary to carry it on to the final phase of the projects.
Marc Bianchi: Yep. Yep. Thanks for that, John. And just one more real quick to go back to the InterOne arrangement and TVA. So the $500 million or $495 million that's going for this first milestone, you guys talked a little bit about it in the prepared remarks, I think, about sort of giving supply chain certainty and stuff. But that's a lot of dollars. Could you maybe go through a little bit more about what InterOne is going to use that money for? And know, kinda how it how it helps move the project forward?
Ramsey Hamady: Sure. I can answer that. I think the short answer is that InterOne pushes that money into project development. Know, what I so I don't have a source that uses to share. But we know that InterOne has pushed forward with this term sheet. There's six projects to develop. There are sites that have been named. There's early work to be done. So a lot of that just goes into catalyzing the commercialization of our technology. We thought yeah, we're not we're not we're not staying there as yeah. We're not we're not staying there and kind of take taking, like, a take yeah. Taking, like, a fine-tooth comb to the Spanish except that the spend is towards projects. It's towards the development of our projects. And I think this is the most critical thing for NuScale Power Corporation. Is to forward these. Right? We know InterOne has just not a lot of work here. They put a lot of effort into these projects. They continue to put a lot of effort. First dollars in are very, very difficult and very challenging to get. And this is supporting of the commercialization. At the end, I think that's and Clay, you know, you've developed more nuclear plants than I have. So you probably can articulate how yeah. What early development looks like. Better than I can on this one.
Clayton Scott: I think you stated it well. I mean, there's six projects, up to six projects, and there's a lot of front-end work that needs to be done. So you know, it's all to all to catalyze and move this forward.
Marc Bianchi: Okay, guys. Thanks so much. I'll turn it back.
Ramsey Hamady: Great. Thank you.
Operator: Next question comes from Vikram Malgari with Citi. Line is open.
Vikram Malgari: Wanted to follow-up on a few questions asked previously. Aware of the principles at InterOne and their standing in the industry. But the entity itself is new and appears that the entity does not have much in terms of assets as of yet. As you're aware, nuclear deals are complex. So if for any reason this deal doesn't go forward or you know, so to say, this this they they've been able advocate this marriage corporate marriage ends up in divorce. How do you protect your interest? The payment you're making is quite substantial, $500 million. Are there any safeguards place to protect your interest if things don't go as planned? Is there anything in place to sort of, like, safeguard or protect that payment?
Ramsey Hamady: Yeah. Okay. I'll tell you. Are there safeguards? Absolutely. The money that we put out now for the term sheets in relation to TVA will roll to other term sheets for other projects should TVA somehow disappear. Right? But I'll I got I still struggle, and I guess the market needs to struggle. With this idea of who InterOne is and what they've done. Right? There was so much questioning about the InterOne team. About the principles of InterOne, the backing of InterOne. And now they come out and they sign a term sheet for six gigawatts, five and a half gigawatts of power with TVA, with the US government. And we're still getting these same questions. And then they go and they secure with the Japanese. They secure a place in this tremendous this landmark Japanese investment into the US. We were the sole group TVA sorry. InterOne and NuScale Power Corporation. We're the sole group that was named under this. Right? There's one. Like, number two, if you look at this joint fact sheet, number two, power development for AI, NuScale Power Corporation and InterOne Energy. At what point and I'm asking our analyst group collectively. At what point do you stop doubting this partner? Why what was it TVA. Six gigawatts. The term sheet's on. A place with the Japanese government named for investment. Let's come back to reality, guys. We, you know, we picked a partner. We picked an amazing partner. The partner has delivered and is delivering. And yet we're still questioning what if, what if. We're committed to the partner, the partner has done a great job. I think we need to recognize that.
Vikram Malgari: Sure, obviously. I mean, I'm asking because it's just got good corporate practice to protect your interest and put in place. But I get the point. The second question I have is was wondering, like, you had a you're targeting a deal by year-end. Does this deal with TVA meet that commit to, you know, sort of, like, deliver a deal by then? Should we look out for something else? Thank you.
John Hopkins: John Clayton, I'll let you guys answer that.
Clayton Scott: I didn't hear the part of the question. It was muffled.
Vikram Malgari: I was asking, you were targeting a deal by year-end. If the deal announcement with TVA meet that commitment, or should we look out for another deal by year-end? Thank you.
John Hopkins: Okay. So I think we're still looking at the construct of the deal when it gets signed and how that contributes to our classification of a deal by the end of the year. And we're kind of working through that right now.
Operator: Your last question comes from the line of Moses Sutton with BNP Paribas. Your line is open.
Joe Nussbaum: This is Joe Nussbaum on for Moses. Thanks for taking my question. Within the PMA agreement, we see a 5% annual escalator on new milestone payments. And in our math, that increases the all-in payment per project from $600 a kilowatt to up to $1,200 a kilowatt by 2040. And while it may be premature to think that far out, you confirm this escalator point. And how do you weigh it against pricing your modules? Will you keep pricing stable near-term to maybe incentivize module orders? Should we assume you increase ASPs in tandem with milestone payments? Thank you.
Ramsey Hamady: I'll weigh in and probably he can as well. Yeah. I think projecting out to 2040 is probably a bit of a long projection. In relation to where we're selling modules for. I think the escalation is the escalation is like, it's inflationary plus. Is the escalation. Where do we see the cost of production of modules? Right. I think would be the right question because it has real kid margins. For us, we believe that the cost of production is gonna go down as we go from first of a kind to producing, you know, in the case of TVA, potentially up to 72 modules. But really much more. So, you know, maybe this is kind of a very positive idea where we break down our cost while we have an escalator to our pricing. Yeah, we're always gonna keep pricing in line with what is necessary to be commercially competitive in the market. But this is a great deal for NuScale Power Corporation. Right? Yeah. We all know it moves up from first of a kind to end of a kind. We bring down production costs. When manufacturing gets better, it gets more efficient. Optimize the supply chain. So I think that was, you know, that was a big win for us.
Joe Nussbaum: Great. Thank you. Very helpful.
Ramsey Hamady: Thank you.
Operator: Thank you. And with no further questions in queue, I would like to turn the conference back over to John Hopkins for closing remarks.
John Hopkins: Yes. Thank you. I apologize, I'm losing my voice. Here. But a lot of good questions today, a lot of speculation of how this is going to get done. I think Ramsey made a good point. It just was an arbitrary that TVA picked InterOne NuScale Power Corporation in the six-gigawatt potential. It wasn't just hit or miss that, you know, in the Japanese framework, $25 billion is allocated for a developer that we're working with in our exclusive partner InterOne. And again, we're excited about this, only for us, we're excited about the whole industry in general. In terms of you see the market signals and what's happened, demand pull is there. So we're excited about it. This next quarter, hopefully, we'll have a lot more to report. And I'm a proof of sinapudding guy. And I can tell you there's a lot of effort and work that's gone into where we are today. So we're excited about the future. We believe we have the right partners. The right model, and collective expertise. And my team and I certainly believe that we're ready to deliver and continue to lead in this market. So I really would like to thank you all for participating today and until next time. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.
Ramsey Hamady: Thank you.